Operator: Welcome to the Lennox Third Quarter 2024 Earnings Conference. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Chelsey Pulcheon from Lennox Investor Relations team. Chelsey, please go ahead.
Chelsey Pulcheon: Thank you, Margo. Good morning, everyone. Thank you for joining us today as we share a remarkable 2024 third quarter results. Joining me is CEO, Alok Maskara, and CFO, Michael Quenzer. Each will share their prepared remarks before we move to the Q&A session. Turning to Slide 2, a reminder that during today's call, we will be making certain forward-looking statements, which are subject to numerous risks and uncertainties as outlined on this page. We may also refer to certain non-GAAP financial measures that management considers relevant indicators of underlying business performance. Please refer to our SEC filings available on our Investor Relations website for additional details, including a reconciliation of all GAAP to non-GAAP measures. The earnings release, today's presentation, and the webcast archived link for today's call are available on our Investor Relations website at investor.lennox.com. Now please turn to Slide 3 as I turn the call over to our CEO, Alok Maskara.
Alok Maskara: Thank you, Chelsey. Good morning, everyone. Lennox delivered another record quarter, highlighted by double-digit revenue growth, operating margin exceeding 20%, and strong free cash flow. We also made solid progress on multiple key initiatives as part of our ongoing transformation plan. I am grateful for our talented team and the growth mindset of our customers who enabled these exceptionally strong results. Let's turn to Slide 3 for the highlights of this quarter. Core revenue grew 15% and our adjusted segment margin expanded 90 basis points to a Q3 record of 20.2%, resulting in adjusted earnings per share increase of 24% to $6.68. We generated an impressive $452 million in operating cash flow this quarter, which is $139 million or approximately 44% increase over the same quarter last year. Our industry-leading ROIC also grew to 47%. Both our segments, HCS and BCS, achieved 15% revenue growth in the quarter and both continued to deliver strong segment profit. Investments in manufacturing capacity and front-end redesign has enabled us to gain share and meet customer demand for R-410A products. In addition, investments in digital processes and distribution technologies led to improved order fill rates within Home Comfort Solutions. The new commercial factory startup remains on track and the Building Climate Solutions segment successfully integrated the AES acquisition ahead of schedule. These results reflect the dedication of our 14,000 employees and the continued support of our dealers and customers. Therefore, I am confident in raising our 2024 EPS guidance range to $20.75 to $21. Now please turn to Slide 4 for more details on our CLO transition. As announced earlier this morning, John Torres, Lennox's Chief Legal Officer has elected to retire. I want to take a moment to acknowledge John's outstanding 16 years of leadership and his lasting impact on Lennox. He led multiple acquisitions and divestitures to streamline our portfolio and ensure that we operate with the highest ethical standards by strengthening our ethics and compliance office. As a result of our thoughtful succession planning, we are excited for Monica Brown as she takes on the role of Chief Legal Officer effective January 1, 2025. Monica has been with Lennox for 12 years with a proven track record across our businesses and legal functions. Before joining Lennox, she spent nearly 13 years with the leading outside law firm. Looking ahead, Monica is well-positioned to continue John's legacy of success with a focus on advancing our digital capabilities and accelerating future growth. Now let me hand the call over to Michael to take us through the details of our Q3 financial performance.
Michael Quenzer: Thank you, Alok. Good morning, everyone. Please turn to Slide 5. We are pleased to report our seventh consecutive quarter of double-digit year-over-year adjusted earnings per share growth. This quarter, we increased our adjusted segment margin by 90 basis points and achieved a remarkable 15% revenue growth, resulting in 24% adjusted EPS growth. Now I will share more details on our third quarter financial results. Core revenue was approximately $1.5 billion, up nearly $200 million from last year, attributed mostly to volume gains in both segments. Adjusted segment profit increased by $52 million or 21%, driven by $86 million in volume as well as price and mix benefits. This was partially offset by regulatory transition costs and expenses related to our new commercial factory ramp-up. Ongoing investments also impacted profits as we are committed to strategic initiatives in sales and distribution to support consistent profitable growth. The tax rate was 18.7% and diluted shares outstanding were $35.8 million compared to $35.7 million in the prior year quarter. Let's now turn to Slide 6 and review the third quarter financial performance of the Home Comfort Solutions segment. The Home Comfort Solutions segment had an exceptional quarter, delivering 15% revenue growth, 25% segment profit growth, and an impressive 170 basis point expansion in segment profit margin. Sales volumes increased by 11%, fueled by over 30% growth in our two-step distributor channel, primarily reflecting normal restocking after several quarters of industry-wide destocking. Our one-step contractor channel saw modest volume growth supported by R-410A availability compared to the broader market. Towards the end of the quarter, we saw early signs of R-410A provide demand. Pricing execution has been a key focus for the HCS segment over the past year, driving 4% revenue growth in the quarter. Having successfully met our 2024 price improvement targets, we are now concentrating on pricing for the new R-454B products and these initiatives are progressing well. Finally, our quarterly profit was impacted by anticipated product cost challenges during our transition to our new R-454B products and for ongoing investments aimed at enhancing our distribution capabilities and improving the overall customer experience. Moving on to Slide 7. The Building Climate Solutions segment also delivered an impressive 15% revenue growth in the third quarter, 6% of which can be attributed to inorganic growth from our AES acquisition. We are very pleased with this acquisition, which was completed in the fourth quarter of last year. The integration was finished ahead of schedule and we have delivered better than expected AES profit margins, driven by additional synergies. From an organic growth perspective, sales volume was up 7% in the quarter but was constrained by manufacturing challenges and new factory ramp-up inefficiencies that limited production output. Segment profit increased by $9 million, though profit margin declined due to anticipated manufacturing ramp-up costs. Production startup at our new commercial factory in Saltillo, Mexico, remains on track. However, total manufacturing output for commercial HVAC continues to be below demand levels. For emergency replacement, we have started offering products in some pilot markets and early results are encouraging. Please turn to Slide 8, where I will review our cash flow performance and capital deployment strategies. Operating cash flow for the quarter totaled $452 million compared to $313 million in the same period last year. Capital expenditures were $40 million, representing $1 million increase year-over-year. Our cash flow performance has been solid this year, reflecting ongoing efforts to drive revenue growth, expand profit margins, and optimize working capital. Earlier this year, we implemented working capital initiatives with a focus on accounts payable, which has been a driver of the $183 million increase in year-to-date operating cash flow. In the coming years, we will unlock additional working capital by leveraging digital tools and efficient processes. Our return on invested capital, ROIC, stands at 47%, an industry-leading figure that remains resilient across business cycles due to high non-discretionary replacement demand. We continue to expand ROIC year-over-year, while also making capital investments that are poised to deliver substantial benefits in the coming years. Finally, we maintain a healthy balance sheet with net debt to adjusted EBITDA at 0.8 times, down from 1.8 times in the prior year. Our free cash flow deployment strategy remains focused on driving annual dividend growth and executing bolt-on acquisitions. We have reinitiated buybacks in the third quarter and we'll continue leveraging share repurchases to efficiently return excess cash to shareholders. If you will now turn to Slide 9, I will review our revised 2024 financial guidance. After the third quarter results and more visibility into the last quarter of the year, we have raised our full year revenue guidance. The table on the left summarizes our full year revenue growth factors. Total company core revenue is now projected to increase by approximately 10%. We now expect mid-single digit improvement in sales volumes, combined price and mix to be up low-single digits, and our AES acquisition to contribute low-single digit growth. As a result of our strong third quarter profit performance, we are raising our full year earnings per share guidance to $20.75 to $21 from the previously guided range of $19.50 to $20.25. We are also raising our free cash flow guidance to $575 million to $650 million. As you can see, most of our other guide points have not changed except for interest expense, which is now estimated to be approximately $45 million. Overall, year-to-date performance combined with increased clarity on industry demand has given us the confidence to significantly raise our earnings per share guidance. With that, please turn to Slide 10, and I'll turn it back over to Alok for an overview of the low GWP Refrigerant transition.
Alok Maskara: Thanks, Michael. All necessary preparations for design, engineering, and manufacturing of the low GWP products were completed earlier in the year, ensuring a successful launch in the third quarter. As part of this transition, we are also excited to introduce our new Lennox powered by Samsung Mini-Split and VRF heat pump systems. We have invested heavily in developing new low GWP products and minimizing disruptions during the transition. We anticipate continued manufacturing cost headwinds into the first quarter of next year as we continue to convert production lines in our factories. Our approach to reconfiguring our factories balances production flexibility with cost efficiency. In 2025, we expect a gradual shift in demand for the new low GWP Refrigerant products. The first half of the year, specifically the first quarter, we'll see continued R-410A sales from manufacturers, distributors, and dealers as everyone depletes their regular and pre-bought R-410A inventory. We still estimate that for the full year, approximately 65% of the end-market demand will transition to low GWP product, which will favorably impact mix. Looking further ahead, we anticipate existing 410A refrigerant will face price increases as supply items and demand moves towards low GWP products. This will increase cost pressure on repairs, leading to higher demand for system replacements. This transition also opens more service opportunities for dealers and contractors given additional safety features and components in the new R-454B products. We expect some of the low GWP price and mix benefits to extend into 2026 as the market fully transitions to the new low GWP product. With that, please turn to Slide 11 for our early thinking on the outlook for 2025. We are pleased with the resilience of the North America HVAC industry growth. We remain cautiously optimistic for 2025, given our sustained competitive momentum from our ongoing transformation journey. On the left-hand side of the slide, you will see several factors that will likely impact revenue growth in 2025. Mix benefits from the low GWP transition with 10% plus price increases will accelerate growth. Lennox has historically executed extremely well during these regulatory transitions, gaining share and confidence from our dealers and distributors. We plan to do the same thing next year. We anticipate higher manufacturing output from our commercial HVAC factories within our BCS segment. In conjunction with the investment we made in our sales team this year, we will be able to recapture some of the previously lost share in the emergency replacement market. Moreover, these improvements will instill greater confidence in our ability to serve national accounts with a full lifecycle value proposition. We are encouraged by the growth opportunities from partnering with Samsung for our ductless heat pump offering, strengthening brand recognition, and providing access to a broader customer base. Increased incentives for energy-efficient system may lead to higher replacement demand as well as a higher tier mix. While we are generally optimistic about 2025 revenue growth, it is important to recognize our outlook can be impacted by several end-market factors. Uncertain consumer confidence continues to pose challenges alongside a trend towards more value tiered products, which may negatively impact mix. Higher cost for the new products may also create complexities in the ongoing repair versus replace dynamics. From an industry perspective, we expect destocking in the first half of 2025 as distributors sell through R-410A pre-buys this year. Additionally, competitors may gain some share as they overcome their current availability challenges. On the right-hand side of the slide, we have highlighted key drivers for margin expansion. We anticipate margin improvements from the low GWP product mix with 30% incrementals, supported by our continued focus on price cost discipline. We also foresee improvements in productivity from higher distribution fill rates as our focus on digital inventory planning and our investment in distribution technologies start to generate results. Greater factory efficiency will also contribute to our margin expansion, particularly in the second half of next year as we begin to lap the ramp-up costs associated with the new commercial factory and low GWP transition. However, these gains may be partially offset by several factors. Our investments in digital capabilities and distribution network improvements are essential for enhancing operational efficiency and improving customer experience. While these investments are crucial for long-term growth, they may create some near-term pressure on margins. Additionally, we anticipate inflationary pressures for both commodities and component cost. We also expect increases in healthcare and employee benefit costs. Ultimately, our focus in 2025 remains on superior execution to drive differentiated growth and expand margins. We will provide further financial guidance when we report our Q4 earnings early next year. Now please turn to Slide 12. As we wrap up today's call, I want to emphasize our confidence in driving sustainable growth guided by five key elements of our strategic transformation plan. Our first focus is on accelerating growth by adding new customers as well as capturing a greater share of wallet from existing customers. Second, we will expand our margins from price cost productivity and leveraging the strength of our direct-to-dealer network. Third, the Lennox unified management system remains key to our success, helping us streamline operations, share best practices, and execute our strategy. Next, our ongoing investments in digital and heat pump technology keep us at the forefront of innovation to deliver cutting-edge solutions for our customers. And finally, our strong culture rooted in core values and reinforced by our pay-for-performance model drives our success. Our differentiated strategy continues to create sustained competitive advantages and will enable us to achieve our long-term goals. I'm incredibly proud of what we have accomplished so far and I have no doubt that our best days are still ahead of us. Thank you. We will be happy to take your questions now. Margo, let's go to Q&A.
Operator: [Operator Instructions] We'll take our first question from Tommy Moll from Stephens. Please go ahead.
Tommy Moll: Good morning, and thank you for taking my questions.
Alok Maskara: Good morning, Tommy.
Tommy Moll: Alok, I want to start on the A2L commentary that you've provided. I hear you talk about the 10% plus pricing tailwind versus the R-410A product, and then also about some early success with initiatives in recent weeks or months I guess. So if we pull all this together, am I correct in saying that, number one, the magnitude of the pricing mix tailwind is unchanged versus prior expectations? And then number two, that your conviction in successfully realizing that is higher now that you've introduced some product into the market, albeit at low volumes.
Alok Maskara: I would say both are true, Tommy. The third thing I would add to is the competitive share gain that we get normally during any regulatory transition, the confidence in achieving that in this transition is also higher.
Tommy Moll: Thank you. Looking at the 2025 early thinking slide you provided, Alok, I wanted to unpack what you're referencing here in terms of the trend for the value tier and then the repair versus replaced? What have you seen to date on those points? And then what do you want to make sure to communicate about how that might evolve into next year? Thank you.
Alok Maskara: Yes, what we have seen so far is not a meaningful shift between repair and replace, and -- but we continue to be cautious about it, especially given that the price of new equipment will rise. So we continue to monitor that and that's why I want to call it out. On the value tier shift, as we went from sort of 13 SEER to 14 SEER and as we look at the overall state of the economy, we have seen a shift towards more people buying the minimum SEER. It already used to be about 60%, 65% of the industry, so now it might be 65% to 70% of the industry. So that's what we are calling out in the value tier. No surprises, no changes from any of our previous conversations, just wanted to lay out the positives and the potential watch out for 2025, but really no change in Q3 that we are calling out.
Tommy Moll: Noted. Thank you, Alok. I'll turn it back.
Alok Maskara: Thanks, Tommy.
Operator: Thank you. We'll next go to Ryan Merkel with William Blair. Please go ahead.
Ryan Merkel: Hi, everyone. Thanks for taking the question. My first one is just on the 65% next year that will be A2L. Can you just talk about some of the assumptions you're making there? And then would you say the risk is to the upside there or to the downside? I know that is kind of a hard question, but.
Alok Maskara: It is a hard question, but Ryan, we are here to answer your hard questions. Listen, I think the risk right now is fairly balanced around the number 65%. If you remember earlier in the year, we were talking about 50% to 65%, but right now we feel more confident around the 65% number. I think if it's a little lower, it could be because there is more pre-buy in 410A, which we will see in Q4. And if it's higher, it will because a lot of the competitors already out of 410A inventory right now. So as we're selling 410A, it could be used this quarter versus being left over for next year. So those are kind of the two dynamics on the 410A that we are selling today, does that land up becoming pre-buy, which I think is some chances or it's just because competitors are short on that product. So those will be the pluses and minuses on that, Ryan.
Ryan Merkel: Got it. Okay. And then just on the pre-buy, clearly that helped the quarter. As we think about the first half of '25, can you quantify the magnitude just so we can set our models correctly?
Alok Maskara: Sure. So on the pre-buy, I'm not sure how much it helped Q3. I mean, if you think about Q3, what helped us was three different factors. First of all, the end of destocking and beginning of restocking, I mean, that was probably the largest contributor. As you saw, our two-step business was up over 30% or around 30%, so I think that's the biggest factor for what helped in Q3. Second, I would call out is just share gains. I mean, we've been gaining share just because of better execution and there was some impact of competitors running out of inventory. So I think share gains were the second factor. Third, which may have happened a little bit towards the tail end of the quarter is pre-buy. But remember, most of our business goes to dealers and unless they go start renting out big bonds, I mean, they're not going to be able to do a lot of pre-buy, and distributor inventory levels are still pretty close to normal. So I just want to emphasize the point on the pre-buy on how we expect. What we would expect, as said, is in Q1 next year, there clearly will be some depletion or destocking of pre-buy, maybe some carryover in Q2, but that gives us confidence in the 65% number, saying majority of the sales next year will be 454B.
Ryan Merkel: Got it. Thanks.
Operator: Thank you. And we'll next go to Joe O'Dea with Wells Fargo. Go ahead.
Joseph O'Dea: Hi, good morning. Thanks for taking my question. I wanted to start on the market share comments that you've made. I mean, I think that going back to 2018 time period in tornado and a period of time of maybe two or three years of some share headwinds, it seems like over the past couple of years, those have reversed and you've been on a share gain trajectory. But can you just level set in terms of through these periods of time, how much you may have given up, how much you've recaptured net-net, where do you stand today, and how you're thinking about those share gain opportunities moving forward?
Alok Maskara: Sure. I'll start by reaffirming what you said is that, yes, we have reversed those share losses and we are back on a positive trajectory. Because we do both one-step and two-step, share is a little difficult as we look at AHRI or any of those data. But today, where we stand because of all the moving pieces, we are confident that we have gained share and we continue to gain share. What we have to do next year is make sure that we can retain most of the captured share, because as competitors have inventory, which many of them don't right now on 410A product, then there would be like a lot of our effort going towards making sure our share gains are more permanent. On the commercial side, where also the share gain comment comes up, we have not been able to recover the share so far. That’s part of our plan for 2025 on getting share back on the emergency replacement, because we are still constrained by manufacturing capacity, not demand in that segment. So I want to separate the shared comments into commercial and residential.
Joseph O'Dea: Got it. And then, just wanted to circle back on the 454B pricing commentary and you've noted that the initiatives are progressing well, any color that you can provide on what that means in terms of or with respect to the 10% plus price? And I think there is still debate out there on how to think about that price and list versus realized, so any clarification there when you talk about 10% price and if that's a realized number?
Alok Maskara: I think as we finish Q4, when we have greater clarity on market movements and acceptance, we can talk about that in early Q1. Right now, the 10% is what we are looking to gain out of a price. But realize, we'll apply to only 65% of sales and only the products that are 454B, and we will also be raising price on 410A next year. So the 10% has to be taken in conjunction with 410A pricing today. So there are a lot of moving pieces and we can provide greater clarity. But the overall where we are seeing in the marketplace is the higher cost products that we're introducing, 454B, is being supported by our and competitive moves on 10% plus price increase into 2025.
Joseph O'Dea: Got it. Thank you.
Operator: Thank you. And next we're going to go to Jeff Hammond with KeyBanc. Please go ahead.
Jeffrey Hammond: Hi, good morning, guys.
Alok Maskara: Hi, Jeff.
Jeffrey Hammond: Just -- I appreciate all the color on that 25 moving pieces. If we just kind of looked at the market today, what do you think that res unit and commercial unit kind of market growth looks like as you snap a line into '25? I know there is a number of moving pieces, some noise with the pre-buy, but just kind of underlying unit demand in each of the businesses.
Alok Maskara: If you think about res and we talked about this earlier in the year that we expected for a dealer the volume to be flat-to-down, then halfway through the year, we upgraded to be flat, and now we're going to say flat to maybe slightly up is where we are on the res side. And I'm talking about installed units, away from stocking, destocking, but think of flat as the conservative, flat to slightly up as maybe a little bit more, like aggressive numbers to look at. But it's hard to come to that in a firm number as you know with the different moving pieces.
Michael Quenzer: Yes, I think what we need to do is see this Q4 pre-buy play out and see kind of how that impacts the end-market demand as well as share gain initiatives as we've talked about. Normally, we've executed better than others during this transition. So those are two unknowns that we need to see how they play out over the next quarter.
Alok Maskara: So we'll wait for AHRI, but I think flat to slightly up would be a good way to look at end-market non-residential. On commercial, since we remain supply-constrained, we just go with the industry figures, where I think the market has been growing slightly. It's still not fully recovered from the COVID decline that it happened, because our markets, remember, we don't have offices, we don't have as much multi-storey housing, what we call commercial is typically retail single-storey buildings. So from that perspective, we do see that market continuing to do -- grow low-single digits at the end-market. And on resi, I'm more optimistic about lower interest rates, better -- like market performance going into next year.
Jeffrey Hammond: Okay. And then just in commercial, maybe let us -- remind us your mix in education and there has been a lot of funding -- ESSER funding around K through 12 and I know that's been a hot market. If you're seeing any signs that as that sunsets that market might see a move back.
Alok Maskara: We had not seen any signs of that market going back. Our exposure in education is probably less than some of our competitors, given like, historically, we have been so focused on retail, but we look at that as a good growth opportunity. But currently, we don't see any of that slowing down as we see also schools issuing bonds and other pieces, because these are very necessary maintenance and many of these units remain way past their useful life.
Jeffrey Hammond: Okay. Thanks so much.
Operator: Thank you. Next we'll go to Jeff Sprague with Vertical Research. Please go ahead.
JeffSprague: Hi, thanks, and good morning, everyone. Hi, Alok, I just want to come back to kind of the share gain dynamics and we got to hop over and see what else Watsco is saying this morning, but you're kind of putting the share gain largely being a function of some competitors running out of 410A, where they sound like maybe there is actually some bigger problem with somebody. I'm not expecting you to kind of name -- names on competitors, but are you actually seeing somebody also struggle with the transition or there is some other kind of systematic problem with someone in the channel other than just kind of running out of 410A?
Alok Maskara: Obviously, we don't know what's happening inside the hood with any of those competitors. What we know is our availability right now on 410A products is better than many of the other players and that's giving us an advantage. We also know that a lot of the investments we made last year in improving our sales team, being a better distributor, making sure we have higher fill rates, and ensuring that we have a decentralized model that gets more aggressive and focused on our typical AOR dealer, all that's paying off as well. So I do want to break out the share gains into two comments, right? One is totally consistent with everything we have been trying to do. And second, maybe some current advantage because of competition stumbles. It's part of the transition. We made a bet that throughout this year, 410A demand would be higher and the shift to 454B would only happen next year. I believe some of the competitors may have made a different bet and they may have run out of products.
JeffSprague: And then thinking about the after effects of whatever pre-buy we have into next year, right, I mean the 35% of the market that's not 454B, almost by definition, right, has to be sitting in distribution by the end of the year, right, if manufacturers are running low on it now. So I mean that -- I mean that feels like really a potentially bigger air pocket early in the year than, I don't know, maybe people think. Maybe just kind of comment on that, like the -- how you see the state of distribution at the end of the year and how this kind of give back on the pre-buy might play out?
Alok Maskara: Yes, sure. First of all, we will get greater clarity next year because Q4 is still just starting and we got to work through that. Our 35 number was based on that even manufacturers will have some 410A inventory like we will have 410A inventory at the end of the year that we will be selling. So like as we look at our own distribution and I think other manufacturers will likely also have 410A inventory at the end of the year. So it's not just inventory at distributors, it's inventory at manufacturers and distributors. Q1 is where we will see the most impact. I think the FX starts waning away in Q2 and that's why the 65:35. But Jeff, I wish there was an exact science behind this or if we had full visibility and complete transparency. So this is just like us looking at what we know and coming up with an educated guess. We are going to be wrong. We just don't know whether it's going to be wrong on the upside or the downside.
JeffSprague: Understood. Thanks for the color. I appreciate it. Thanks, guys.
Operator: Thank you. Next we're going to go to Stephen Volkmann with Jefferies. Please go ahead.
Stephen Volkmann: Thank you very much. Actually, I'm just going to build right off of that. Alok, wouldn't you rather be wrong by having more R-410A, so that you are price competitive further into 2025?
Alok Maskara: For the whole industry, which is what we care about deeply as well, I would hope that everybody runs out of 410A by the end of the year, so we get the better mix and the transition is more seamless for our dealers. For a dealer dealing with two different product lines and training their crews and all that is just very difficult. So we want to support our dealers and I hope the entire industry runs out, which is quite likely given that some competitors already running out of 410A. But from our perspective, yes, we would like our manufacturing transition to be clean and for us to move to 454B. At the same time, we don't want to be price-disadvantaged in the first quarter when others may have 410A. So that's a daily balance we got to drive, Jeff.
Stephen Volkmann: Okay. And maybe just switching to commercial, any words of wisdom as we think about how the new facility kind of ramps up through 2025 and we sort of try to model that and when the startup costs kind of go away.
Alok Maskara: Yes, the startup costs will go away definitely by Q2, a large part will go away in Q1. Right now, where we are is, we are on track from the timeline perspective. I would say the startup inefficiency maybe a shade higher than what we thought originally, just because we are putting extra focus on quality and sometimes we are paying more for freight to move products back-and-forth, and we want to make sure it's a really good quality product and we take care of our customers through their transition. So I would say, you should expect by mid-next year us to be kind of running up to as we thought the capacity of the factory would be. So think of another three quarters worth of ramp-up associated with inefficiencies fading away in Q1. Michael?
Michael Quenzer: Yes, I'll just add, a lot of these costs we're experiencing right now, we believe are temporary. Obviously, we're trying to launch a factory. So in the second half of next year, when that factory is fully operational, these temporary transition costs should abate.
Stephen Volkmann: Great. And then just finally on that, you mentioned earlier that demand is outstripping supply on commercial, when this thing is up mid-year to normal run-rates, is that then in better balance?
Alok Maskara: We know we'll be in better balance. We may still be below capacity because remember, we're only getting 20% of the potential capacity in Saltillo up and running, and if demand continues to outstrip supply, we will put up another 20%. I mean, the factory is large enough for us to be able to double our current capacity, but we are doing it 20% at a time. But yes, we'll definitely better balance and better be able to serve our customers. I mean, currently, our customer satisfaction in that is very low because we just can't meet the amount of demand and orders we have.
Stephen Volkmann: Yes. Helpful. Thank you, guys. Good luck.
Operator: Thank you. Next we're going to go to Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning, guys. So, Alok, that you clearly -- I don't have the crystal ball here, but just to square those comments on your own inventory levels exiting the year, is the way we should think about it that you expect to carry inventory levels of 410A products to at least meet demand for the first quarter and that's really kind of like the balance that you're trying to make sure you get right.
Alok Maskara: Approximately, the reason I say is, like remember, we are also a distributor and 70% of our sales act just like a distributor sale, and if we turn inventory five times a year, which I know we do around that much, I will have 410A inventory just from phase in, phase out perspective that we will sell through in Q1. So I think some of it is just practical constraints of transition, and other is, of course, we do want to remain competitive. So while it's not a goal, I think that's just largely how it will play out, because we will continue manufacturing till the time we can.
Joe Ritchie: Okay, fair enough. And then just maybe just sticking on pricing for 410A, given that the products are going to be discontinued going into next year, does that change the pricing dynamics that you're able to put through in the early part of next year as you typically put your annual price increases through, or how should we kind of think about that 410A pricing even for the portion of the year that it held into the network in early 2025?
Alok Maskara: First of all, we want to take care of our customers and be fair, but second, from a demand and supply perspective, if 410A is short in supply, which is what we are experiencing right now, then we fully expect to capture the incremental pricing in 2025 or any 410A product sold in 2025. When we do annual price increases, I mean cost of benefits are going up, cost of -- lot of the commodities continue to be around inflation in wages, so yes, we fully expect to have 410A sold in 2025 to be at higher price than 410A sold in 2024.
Joe Ritchie: Okay, great to hear. Thank you.
Operator: Thank you. Next we'll go to Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Thanks very much. Alok, maybe first off, there is some sort of interesting bits and pieces on the margins I suppose on Slide 11, maybe trying to wrap it together. So I think your margin -- your operating margin this year is guided up about a point for the year as a whole, just total Lennox, so it's sort of 30%-ish incremental margin. When we look at the bits and pieces on Slide 11, is the main takeaway that it's a similar incremental next year or is there something I'm missing on some of the moving parts on Slide 11?
Michael Quenzer: I think, overall, we expect our margins to expand at both next year, predominantly led by the mix benefits that we'll see. Then offsetting some of that will be some of the investments we're making. We're going to have at least a 30% incremental on the mix and then we'll get some more volume tailwinds hopefully in share, which is also 30% incremental. We'll have to go through all the puts and takes and some of the investments we're making, but 25% to 30% incremental sound in the range, but we got to go through all the details still.
Alok Maskara: Yes, and Julian, remember our long-term targets for Lennox margins that we have published, I mean, we are still not there. So we obviously want to keep making progress towards that over the next year, year and a half to get there. So I don't want to give you exact number because Q4 still has to play out depending on how that goes, but we do expect margin expansion next year for sure.
Julian Mitchell: That's helpful. Thank you. And then just my follow-up, revisiting sadly the pre-buy stuff again. So I guess, it sounds like if we're trying to quantify it, we should not be too concerned, if that's right for a couple of reasons about the extent of the destock. I think one is, if I look at your residential volume guide for this year, it's gone up about three points, I think, for the year versus what you said in July, but a lot of that is share gain. So you've got maybe, I don't know, a point of effect from pre-buy this year. And then also if the effect is mostly in Q1 of next year, Q1 is typically a very small seasonal quarter anyway for you, and particularly so for cooling product, which presumably is what the refrigerant change affects rather than hot products. So maybe just clarify for me if I'm misunderstanding anything with those points, please.
Alok Maskara: First of all, you're not misunderstanding, Julian, this is the -- your classic quote, if I can quote back to you like analyzing storm and a teacup, right? I mean, our industry is over-analyzed sometimes. I think companies that execute well have a strong strategy to do better. But yes, your math is about correct. I mean, we -- 70% of our shares are kind of immune to this whole pre-buy discussion and that's going to work as planned. The other 30%, we believe majority of the effect right now is stocking, destocking, not pre-buy. Having said all of that, Q4 is still out there. I mean, if Q4 has a very heavy Q -- quarter and a lot of that's driven by pre-buy, then all our answers could change and we will have to talk about that in Q1. But so far, we are assuming there will be some pre-buy but not a heavy pre-buy that impacts us this year.
Julian Mitchell: Great. Thank you.
Operator: Thank you. Next we're going to go to Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Thanks for taking the questions. Really great quarter for cash generation, and as we look towards '25 and lapping some of the investments you've made on the CapEx side, and I think in the past, you talked about getting back to 100% free cash flow generation -- 100% free cash flow conversion, how do we think about share repurchases, that picking up here in 4Q levels for '25. It had been a couple of years, but going back, it used to be pretty active on the repo front.
Alok Maskara: I'll start by just saying that our new CFO is really helping to drive the free cash. He is bringing a new level of discipline, a new level of accountability, and a new level of focus on working capital management. With that, I will hand it over to Michael to actually answer that question.
Michael Quenzer: And I'll just add on that. That's one of the initiatives I started is trying to align the organization on working capital management, especially as we look to get 90% or even close to 100% of free cash to net income. So it's something we're focused on over the next couple of years. But yes, we are generating a lot of cash, and our deployment strategy is going to be basically consistent where every year we're going to increase our dividend. We're going to look at our dividend yield compared to growth companies in the S&P 500, so we'll do that. And then we're also evaluating bolt-on acquisitions that have to have the right fit with the right returns on it. So we're being very disciplined in that, but we're definitely focused there. And then thereafter, it's going to be about share repurchases. We started getting back into share repurchases this quarter. We'll continue to do those, but it will be kind of a tool to efficiently deploy that capital if we don't do acquisitions.
Noah Kaye: Okay. And can you talk a little bit about that acquisition pipeline and what your needs may be at this moment?
Michael Quenzer: Yes. I think what we've looked at is different technologies, kind of bolt-on technologies in the commercial space. They just give us a better product offering with our commercial customers. We've looked at distribution opportunities to have a full assortment of products that we can sell through our residential distribution network. Those are two big ones. And then there is just different technologies to make our product smarter, either on the thermostats, IQ, so it's a host of things that we're looking at, but again, they got to have the right fit and the right price.
Alok Maskara: And I would add to that, remember, I mean, we are also trying to be more of a distributor versus just a manufacturer and there's a big opportunity for products that our dealers buy or our key accounts buy that we don't sell today. So if we could look at appropriate products and technologies, as Michael said, and bring them into our network, that would be significantly value enhancing to our shareholders. So we are very disciplined in capital allocation, and as Michael said, we will look at all those opportunities and balance those appropriately. But it starts with strong cash flow, which I think Michael and the team are doing a great job at.
Noah Kaye: Great. I'll have some follow-ups offline. Thanks very much.
Operator: Thank you. Next we're going to go to Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
Alok Maskara: Good morning, Deane.
Deane Dray: Hi. I saw that the plan to build share in emergency replacement is highlighted on the outlook for '25, you've talked about this before. Can you just share some color on what it means to refocus on that business? My understanding is you will need to boost inventory in the field because you need 24-hour turnaround and the customers have to know this and it's either you're ready for that order or you miss it entirely. So what kind of working capital burden increase are you looking at to fill emergency replacement, and can you size that? Thanks.
Alok Maskara: Deane, that's a very good question. Thanks. I agree with you that the going back to emergency replacement requires a lot of effort, starts with us having more manufacturing capacity, then it goes into making sure we have appropriate inventory within 24 hours and in some cases, urban market, the same day. And then finally, it also comes down to having the right feet on the street and getting all the contractors who may have gone to something else or someone else to come back and look at that fold, and we are doing all of that. Most of that working capital impact will be in 2025 and we'll be happy to come back and look at it. But I can also tell you it won't be as material because today we have excess working capital, but it's on the raw product side as we are starting factories and transitioning factories. I would look to redeploy a lot of that working capital from raw materials more into finished goods and closer to the customer. So it's a pretty heavy move, but from a financial perspective, I would expect a lot of that come from the additional draw inventory we are carrying as part of startup.
Deane Dray: That's really helpful. Thanks. And then second question for Michael. On ROIC, Lennox is so far ahead of anyone else in industrials. I think from our coverage, you're probably -- you're nearly two times bigger versus the next closest competitor. So just kind of talk us through, as you make decisions -- investment decisions, CapEx decisions, are you looking at the ROIC impact? Do you hesitate at all on investments? I know it's a rhetorical question and you're going to just say no, but just the idea that you will at times pressure ROIC. So is this more of an outcome or a target on the way you think about it in the company?
Michael Quenzer: Yes, what I'll say is that our industry-leading ROIC is mostly driven by our organic disciplined approach to investments, so we've not done a lot of inorganic acquisitions. Obviously, when you do those, they will be dilutive. But when we look at acquisitions like we did with AES, it was a good ROIC, well above 20%, but still below the 47% that we're tracking. So we'll continue to look at bolt-on acquisitions that are above our cost of capital. And then from a capital expenditure perspective, we do the same thing. So we're not necessarily targeted on growing above 47%, but we want to stay 40% and have good ROI projects on these CapEx, and so we're looking at both on the organic capital expenditures and the inorganic acquisitions to have healthy ROIC above our cost of capital.
Deane Dray: That's really helpful. Thank you.
Operator: Thank you. Next we're going to go to Brett Linzey with Mizuho. Please go ahead.
Brett Linzey: Good morning. Congrats on the quarter. Hi -- I wanted to come back to the early thinking on 2025 and the 30% incremental comment on low GWP, is that a volume incremental comment, and then price mix should drop through at something above that similar to this year? I'm just hoping you could maybe parse those pieces out.
Michael Quenzer: Yes. What we're expecting is more of a kind of price cost. It will come through. We'll have mix-up for the pricing that we just talked about and then the drop-through on that mix will be at least 30% to maintain our gross margins and reflect the additional costs that we're having to put into the product and investments that we're making. Our volume incrementals are also similar to 30%. So we have both kind of dropping through 30% of the mix next year and our normal volume gains.
Brett Linzey: Got it. And then just thinking about new versus replacement in residential, obviously, new housing has been a drag, how much was that down so far this year? And then you noted some of the value tier growth for next year. Thinking about a better housing environment and some of the investment, should you maybe pick up some share in new housing next year or grow in line with the market, any thoughts there?
Alok Maskara: Yes. I think we're starting to see some green shoots in new housing, so we are like either bouncing along the bottom or we are coming off from the trough from new housing. So that's positive. And remember, we are kind of six months behind the new housing starts number that you might see. Our share position in there remains very strong. And on the replacement side, again, if you believe, even the recent Wall Street Journal article about homeowners starting to do more repairs and renovations, we think higher demand there will probably result from lower interest rates and consumer confidence. But all that said, there is just a lot of uncertainty. On the value tier, our comment was driven by because of the SEER changes, because of the pricing levels, and because of the higher interest rates that are prevailing versus a few years ago. So we just want to watch out for that going forward. So a lot more for us to analyze and evaluate before we come to you in 2025 and give you more firm guidance on those things.
Brett Linzey: Thanks. Appreciate the insight.
Operator: Thank you. Next we're going to go to Steve Tusa with JPMorgan. Please go ahead.
Steve Tusa: Hi, good morning.
Alok Maskara: Good morning, Steve.
Steve Tusa: What do you think is driving distributors to stock up in like the last couple of months of the summer when the demand is effectively like maybe flat-to-up a little bit and you have this transition coming? What's kind of the -- what's the driver there?
Alok Maskara: Yes. And I think, Steve, depends on which type of distributors. I mean, we can talk about our distributors. We haven't seen our distributors stocking up. We are seeing our distributors going away from destocking, so they're going back to normal inventory levels that existed pre-COVID and we haven't seen them taking extraordinary measures to stock up. Now, I think in Q4, they might do some 410 pre-buy to get some price advantage versus 454B. But I have not seen any -- at least from our distributors that we work with, any big push to stock up.
Michael Quenzer: And all that said, on top of comps, if you go back to Q3 last year, that channel is down 20% due to destocking, so definitely favorable comps year-over-year as they restock as Alok mentioned.
Steve Tusa: Got it. And then when it comes to the pricing for next year, so you're saying 10% plus on 70% of your revenue, I think 65% penetration, so that kind of gets you into firmly in the mid-single digit plus range for price for next year kind of capture for the segment, is that like the right math that you're talking about?
Alok Maskara: Yes. We'll get you greater clarity in 2025 because I do -- we'll have more clarity both on like 65, 35, 454B, but I think that's roughly the right math and the way you looked at it right now.
Steve Tusa: Okay. And then lastly…
Alok Maskara: …most of this is going to look at mix -- most is going to look at mix versus price, right, because these are brand new products.
Steve Tusa: Right. So this is mix versus like just pure price, but that is the right math right now. It's around 5%, 6%.
Alok Maskara: …mid-single digit is a good range.
Michael Quenzer: And then I'll just add, the stick rate we normally see in regulatory transitions is high because we're making a lot of cost investment as we need to stick it.
Steve Tusa: Got it. And then just lastly, I guess with the combination of the pre-buy for the industry at least maybe perhaps more, some of the things you talked about is being uncertain as far as consumer confidence, repair versus replace all that, do you expect like industry volumes next year at this stage to be down -- industry volumes? You've talked about your share gains, but is industry volume down next year, do you think?
Alok Maskara: Listen, from my perspective, I would say the industry volume -- and this is installed on the ground, so away from any like distributor stock-in or stock-out and all that, I would think it's going to be flat to slightly up next year and a lot of that's just driven by the ongoing trends, age of units, and the cost of repair versus replays. But I wish I could predict that more accurately, Steve. Everybody is going to have a different view on that.
Michael Quenzer: And interest rates are going to have a heavy influence in that as well.
Steve Tusa: Right. And then sorry, one more question.
Alok Maskara: Remember, new home construction is picking up, so right.
Steve Tusa: Yes. Sorry, one more question from maybe the guy that over-analyzes, as you said, whatever the comment was. The share gains this year with your competitors that have been like out of the market, why are those sustainable? Why isn't that like a tough comp in the next year? Are they -- is this kind of structural share gain you think you've taken because of that?
Alok Maskara: Whenever somebody stumbles, some of that becomes permanent, like when we stumbled with the tornado, it took us years, like six years, to get that share back. So when I look at our past tumbles, some dealers will switch back, some won't, so -- I mean that's my part. Our comment is, our goal is to make them as permanent as possible. But that is where execution comes down and see what works.
Steve Tusa: Got it. Okay. Thanks a lot.
Operator: Thank you. Next we'll go to Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning. We covered a lot of ground and let's not over-analyze this situation, but what is the feedback from your end customers, the contractors, the dealers on A2L? Have they come to terms with the technology, the train requirements, et cetera? Do they actually want to have A2L or do they want to take as much 410A as they can? And I'm just wondering this dynamic of 4Q versus 1Q, if you're going to increase prices effective 2025, is there an incentive for them to stock up in 4Q versus 1Q?
Alok Maskara: Yes, so talking about end contractors, I mean, the good news is we are belly-to-belly with 10,000 of them, and I can tell you all 10,000 have 10,000 -- like individual views. So depending on whom you ask, you will get that view. In general, I would say, most contractors would prefer to continue doing what they are doing. They are chain resistant, but they also realize that they don't have a choice and they have to move to 454B. It only comes down to some of them, especially the high-end one will want to move sooner versus later because they are selling a high-end product and they are not at the bottom end of the range. Others who are more chuck in the truck and at the bottom end of the range, they will want to keep doing 410A as long as possible. On the positive side, it's been well accepted. People have gone through training. People understand how to install it. We are spending a lot of time doing training. Other distributors are doing a lot of time doing training, so that will happen. Is there a risk that some of them will stock up more on 410A at the end of the quarter because they do have garages and barns, they may not have warehouses? Yes, I think there is a risk to that. I mean, that's a risk we deal with every year.
Nigel Coe: Yes, okay. I'm -- just got the vision of barns being used to stock up HVAC units. We have to do some barn visits. And then just a...
Alok Maskara: I was at a barn in Wisconsin, and actually, you saw that, so.
Nigel Coe: Yes, side-by-side with the cheese. Then just -- thinking then about just dis-conceptually the repair versus replace dynamic, if we're in a 454B world and you've got a 410A system or 20 system, you're going to have to replace the whole system as opposed -- if you're going to replace instead of just a component replacement, et cetera. So why wouldn't there be more kind of compressor replacements or motor replacements or whatever in a world where we're putting through another 10% price? So I'm just trying to figure out here whether we will see kind of more of a repair mix as we transition through this A2L. Does it make sense?
Alok Maskara: I think fundamentally - you did, absolutely. I still think it comes down to the age of the unit. So if the unit is five-year-old and it's got a compressor broken, the dealer is likely to come and change the compressor. If it's a, 12 to 15-year-old unit where the compressors broken and the motor is making noises, they are likely to replace the whole system. In the 12 to 15-year-old unit, because the extra cost of 410A, once it spikes and it has not spiked yet, it becomes an additional factor that comes into play. So I don't think -- just like the R22 to 410A pieces, in the beginning years, it didn't change the repair to replace, but in the future years, it did move it more towards replacement versus repair. I think the same thing is going to happen, probably no impact in 2025 for repair versus replace, but in future years it will.
Nigel Coe: Great. And then just a quick one, I'm probably the last question here. Have you sized the dollar TAM for the emergency replacement market for commercial? What sort of share do you think you can get of that TAM?
Alok Maskara: We haven't sized or broadcast that yet, but we know what we used to have, and we also know that the industry broadly has a healthy mix between emergency replacement and key account and we are essentially almost all key accounts. So the industry is 60:40. We are probably 90:10 in that, in terms of 90% key account and 10% emergency replacement. So we do know we have a significant opportunity for us to take that forward. You can take that and multiply it by AHRI industry data, but the industry is a lot more weighted towards emergency replacement than we are. Maybe next year we will come back and give you some sizing on that.
Nigel Coe: Great. That's great. Thanks.
Operator: Thank you for joining us today. Since there are no further questions, this will conclude Lennox's 2024 third quarter conference call. You may disconnect your lines at this time.